Operator: Hello everyone, and welcome to the Thorne HealthTech Fourth Quarter 2022 Earnings Call. My name is Charlie and I'll be coordinating the call today. You'll have the opportunity to ask a question at the end of the presentation. [Operator Instructions] I will now hand over to our host, Thomas Wilson, VP of Investor Relations to begin. Thomas, please go ahead.
Thomas Wilson: Good morning, everyone. Thank you for joining Thorne HealthTech’s fourth quarter and full year 2022 earnings call. With me today are Paul Jacobson, our CEO; Tom McKenna, our COO; Michelle Crow, our CMO and Ann Blake, our Corporate Controller, who's available for questions. In addition, Saloni Varma, our new CFO, who we are delighted to have joining next week is also with us today. Before we begin, please note that today's discussion contains forward-looking statements that are subject to risks and uncertainties. Actual results may differ materially from those indicated by our forward-looking statements. More information about potential risk factors can be found in our 2021 Annual Report on Form 10-K, and our upcoming Form 10-K, which we anticipate filing after market today and in other SEC filings. Today in addition to U.S. GAAP reporting, we will be discussing financial measures that do not conform to GAAP. We believe these non-GAAP measures enhance the understanding of our performance because they are more representative of how we internally measure the business. Non-GAAP financial measures should not be considered in isolation from or as a substitute for GAAP measures. A reconciliation of GAAP to non-GAAP results is available in the earnings press release we issued after market closed yesterday and in the supplemental investor presentation posted to our IR website. With that, I'll turn the call over to Paul.
Paul Jacobson: Thank you, Thomas. Good morning. Thanks everyone for joining the call. Today, I'll discuss our full year and fourth quarter 2022 results, update you on the progress we've made against core growth strategies shared during the IPO process, provide our outlook for 2023, including financial targets for the year, I will also share a few comments related to our longer term positioning, including the expansion of our vertical operations with the new world-class facility that will add new capabilities and bring capacity online to fuel efficient long-term growth. As Thomas mentioned, additional details can be found in the earnings release and investor supplement issued after market close yesterday. With that, let's dive in. 2022 was a pivotal year for Thorne. It was our first full year as a public company. Our team navigated well through a challenging macroeconomic backdrop and seized opportunities to grab market share. Our customers proved resilient in the faith of inflationary pressures all around them. We saw the consumerization of healthcare continue and the increasing awareness of the benefits of a healthy lifestyle fuel meaningful growth across our end markets. Executing our core strategies has enabled us to significantly outpace market growth rates and we are well positioned to benefit from lasting industry tailwinds and continue to do so. Now I'll share some of our financial highlights for the full year. First, I'm pleased to add another solid year to our history of strong profitable growth. For the full 2022 period, we achieved sales growth of 24.1% and our adjusted EBITDA grew 19.1%. During the IPO process, we established our intention to drive higher sales while continuing to grow profitably, which we have done. In fact, zooming out to a three-year view. Our sales are up roughly 30% over 2019 on a compounded annual growth rate with adjusted EBITDA of 44.2%. Second, our full year 2022 growth in the D2C channel was 44% over last year. The D2C space has been a significant growth catalyst for Thorne with channel sales over 40% of our total business mix. We have benefited from a 45% increase in the number of active subscriptions year-over-year. The trust customers have in our solutions to help optimize health and performance continues to show up at our routinely strong net promoter scores, which came in at 69 for 2022 compared to 69 in 2021. Our test, teach and transform model continues to gain traction with customers and were confident improvements to the user experience of certain health tests along with personalized product support through our recently launched Thorne advisor will continue enhancing the value of our flywheel. Third, the professional and B2B business grew 11.8% for the year. Despite the disruption of sales through certain of our international distributors to end consumers in Ukraine and Russia. We've continued to work closely with our partners in that region, on balance our growth in the professional and B2B channel was primarily from the combined strength of our network of more than 47,000 health professionals, which offer incremental credibility and validation as a common entry point for nutritional supplement consumers. Steady growth in the early innings of online dispensary sales to patients and individuals under the care or supervision of health professionals in that network, and the success of our direct sales force, which engages health professionals in addition to pro sports teams, athletes and influencers. Moving down the P&L, gross margin fell to 50.2%. The benefit of a normal cost of living price lift in January and a subsequent more targeted raise in August was mostly upset by the sell through of lower margin products like creatine and certain other bulk powders. As we stated during the third quarter call, the decline in gross margins stemmed from our decision to seize an opportunity to lock up supply ahead of other market participants that were experiencing supply chain difficulties. By doing so, we will hopefully gain incremental lasting market share. As expected that raw material cost pressure has begun unwind from the sell through of those materials, and we are now operating under new supply agreements. Turning to operating expenses, we continue to be efficient with our R&D spend, which is relatively flat as a percentage of sales. The increase on a dollar basis was primarily from cost associated with the redesign and relaunch of our approved gut health test and further development of our OneDraw collection device, which I'll touch on later. Our marketing costs were 12% of sales, slightly less than our guidance and relatively flat as a percentage of sales year-over-year. We've stayed efficient in managing our customer acquisition costs and maintained a healthy LTV to CAC ratio of 4.6 for 2022 compared to 4.5 last year. SG&A costs as a percentage of sales increased slightly year-over-year driven by higher shipping and fulfillment costs in the current environment. We are also seeing some of these costs come down, but they remain elevated relative to last year. Also contributing to higher SG&A costs was an increase in stock-based compensation and public company costs. These cost increases offset some of the efficiency gains made since the IPO in September, 2021. Rounding out our financial performance for the full year, adjusted EBITDA grew 19.1% despite higher shipping costs and less drop through from the gross margin line, which had a corresponding impact on our adjusted EBITDA margin. Lastly, adjusted EPS came in at $0.32 per share. Now turning to some of our financial highlights for the fourth quarter. On the top line, we delivered another record quarter with sales of $63 million, growing 27.7% over the fourth quarter of 2021, which was our strongest quarter last year. We also saw nice sequential growth over the third quarter of 2022, which I'm pleased with considering the macroeconomic circumstances. Our sales performance on the quarter was underpinned by 46% growth in our D2C channel and 17.5% growth in our professional and B2B channel. The strength of our D2C channel during Q4 was mainly for the same reasons I mentioned in my comments in the full year. However, we also saw significant growth in the professional and B2B channel sales with a strong showing in our NSF for Sport product suite as well as our NR suite relative to Q4 of last year. Some of our more recent high profile launches like Daily Greens Plus are core to our Nicotinamide Riboside suite. We believe a number of factors helped maintain our sales growth trajectory despite increasing inflationary trends that continue through year-end, including first our best of breed science backed offerings that support health and performance are inherently more resilient in maintaining wallet share than many other discretionary items, especially as awareness of the benefits of a healthy lifestyle and consumerization of healthcare is accelerating on a global scale. Second, our generally higher end consumer base is likely to be better equipped to cope with inflationary pressure for some period of time longer than the broader population. Although, we have been judicious in acting limited pricing actions, maintaining our focus on preserving the trust of our customers we spent years cultivating. Third, our efficient marketing engine continues to ramp its capabilities and attract new customers on top of providing stability in the percentage of repeat purchasers during the quarter. Fourth, we've experienced steady upticks in the sales volumes of some of our more recently lodged higher priced offerings and have seen favorable volume increases for certain formulations such as encapsulated products. Lastly, also in line with our long-term strategies, we are solely beginning to penetrate certain high growth international markets in Asia-Pac where we have a very limited presence now, but see ample opportunities to make further inroads. Our gross margin of 50.1% declined from the fourth quarter of 2021, primarily from the sell through of higher volumes of products containing ingredients like creatine, which were more heavily impacted by supply chain disruptions than some other raw materials. As a reminder, much of our significant core purchase when scarce of ingredients occurred in mid 2022. We substantially finished selling through that inventory in Q4. With respect to operating expenses for the fourth quarter, R&D spend during Q4 of 2022 was up 4.5% over Q4 of last year. The R&D organization continues to capitalize on our deep strategic partnerships to advance key studies in a cost-efficient manner, such as our work with the Mayo Clinic related to SynaQuell and our brain health portfolio. These types of partnerships showcase our long-standing efforts to optimize productivity in developing both our physical portfolio and knowledge-based assets. Marketing costs for the fourth quarter were also up over last year mainly from higher personnel and influencer cost. As we followed through with our strategy of investing in our marketing engine to drive brand awareness, efficiency accelerates new customer acquisition. Our impressive Q4 LTV to CAC ratio of 8.3 reflects a reduction in marketing spend in Q4 following our decision to prioritize profitability closing out 2022 in the face of uncertainties from challenging macroeconomic conditions. That decision did not impact our routinely world-class net promoter score, which came in at 71 for the quarter, far outpacing that of a typical e-commerce company regardless of the industry. SG&A also increased over the fourth quarter of 2021, but declined as a percentage of sales. I remind you that Q4 of last year was our first full quarter post IPO and therefore included marginally higher public company transition costs. We also saw year-over-year increases in shipping and fulfillment costs that are a natural byproduct of sales growth. Turning to profit, adjusted EBITDA grew an impressive 65% over Q4 of last year. However, our adjusted EBITDA margin of 14.2% was impacted by less drop through from the gross margin line. Lastly, our adjusted EPS came in at $0.13 per share for the quarter. Turning to the balance sheet, we ended the quarter with $36 million of cash on hand and $13 million of debt for a net cash position of $19 million. At the end of the year, we had not drawn down on the revolver, but we intend to use borrowing from time to time primarily for the purpose of our facility expansion. As of March 31, we had drawn $15 million on the revolver to fund an escrow account for the developer. We are being prudent in our use of cash and financing for this facility and separately for equipment purchases specifically to the expansion. Before closing and outside the financial results, I want to touch on the importance of four areas for our long-term future growth, which include our new plant, the OneDraw device, critical findings in brain health research and international expansion. Our new plant in South Carolina is a significant bet on our future, and I want to discuss the rationale. By the end of 2023, we will have completed expansion of our current facility as well as a new facility next door, giving us the capacity to become a top five manufacturer of supplements in the United States. We've had experience doing this before as our current plant was completed in 2018, a far more complex challenge given that we had to move across the country from Idaho and maintain two workforces simultaneously. Thorne has consistently outgrown the generic supplement industry by multiple folds. In 2022, we grew somewhere between 10 and 15 times the industry average based on which data is most reliable. We remained very confident that we're at the cutting edge of a huge developing trend called scientific wellness, which will require deep personalization. We believe no company can deeply personalize products and testing unless you also control manufacturing. Many companies doing it have no control or expertise in the highly complex areas of formulation and production. Instead, they rely solely on marketing to reach customers. We are steeped in AI on the testing data and product development side where we see all sorts of opportunities for disruption, but it's going to be very hard to disrupt a highly skilled and trained blue collar workforce that knows how to run a large manufacturing operation efficiently when paired with AI and all these other areas. Once the plant is completed, we will have the ability to make liquid fill products, generate personalized packaging and approve upon our printing operations. It will also lead to increasing free cash flow and higher gross margins. This weekend at the 14th World Congress on Brain Injury, the findings from a randomized double-blind placebo controlled study using the product SynaQuell will be presented. These findings are a collaboration between Thorne HealthTech, Mayo Clinic, and HealthTech Connex in Canada. The poster non-pharmacological supplements is a potential neuroprotective intervention for sub-concussive impairment will highlight the positive findings, seamless supplementation in ice hockey players over the season in areas like selective attention and focus, visual processing speed, stimuli processing, and markers of neuronal damage. With OneDraw, to summarize our regulatory position, we have been cleared for direct-to-consumer use in Japan by the PMDA and in Brazil by ANVISA. In the U.S., we've received supervised use clearance by the FDA, and we are reacting to comments by the FDA for direct-to-consumer use and submitting to the Department of General Surgery relatively soon. Through R&D, we've expanded the cartridge capabilities to include dried blood spot, dried plasma and a cartridge, specifically designed for genetic sequencing, all without the need for cold chain storage. We have also validated a proteomic assay for the U.S. Cancer Moonshot Project. We are getting strong interest overseas based on our PMDA clearance, and we're seeing enough evidence to believe the device coupled with some unique tests we're developing to say that the OneDraw will be an important contributor to our business in the not too distant future. Internationally, we've expanded our e-commerce capabilities in China using a multi-platform approach. In 2022, we were a top 10 brand for a few months towards the end of the year on TikTok and the businesses continuing to expand in 2023. Korea has also been a bright spot for us utilizing both e-commerce for consumers and developing a drop ship business with hospital clinics for their patients. Our Thorne Asia venture with Mitsui has recently led to our first retail relationships in Asia as well, starting in Singapore. And with those updates, I'll now close with our outlook for the full year 2023. Based on recent results, our ability to deliver strong sales growth over a multi-year period by executing our core strategies, our increasing capabilities at scale, the position we have centered at the intersection of multiple high growth markets that have also effectively been upsized for the remainder of the decade. We expect our full year 2022 guidance to be net sales of between $280 million and $290 million, representing growth of 22% to 27% over 2022. Gross margin of between 49% and 52%, adjusted EBITDA of between $30 million and 32 million, representing growth of 22% to 31% over 2022; and adjusted EPS of between $0.37 and $0.39. In addition, our guidance for adjusted EBITDA and adjusted EPS includes the following assumptions: marketing costs of between 14% and 15% of net sales, appreciation of approximately 2.5% of net sales, interest expense to be approximately 1% of sales, and estimate full year adjusted tax rate of 27% and diluted weighted average shares outstanding of 54 million as of December 31, 2023. With that, I'll now open up the line for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Elizabeth Anderson of Evercore. Elizabeth, your line is open. Please go ahead. 
Elizabeth Anderson: Hi guys. Thanks – so much for the question. Could you go into maybe a little bit more detail as we think about the 2023 guidance? I also saw the revenue outlook that you provided, and I understand the accounting changes. But can you talk about sort of where you see the biggest drivers of growth and sort of maybe also to what you factored in for OneDraw and some of your new initiatives into the guidance?
Paul Jacobson: Right. So, hi Elizabeth, it's Paul. In terms of the way we are forecasting 2023, we are basically assuming that we're getting a diverse growth across multiple channels, the same way that we always have, and we are not forecasting anything major yet coming from OneDraw. We are having conversations with various groups, but we are not putting significant numbers from OneDraw in there at all. It's basically assuming reasonable growth on our consumer business and on our B2B and professional segments pretty much what you've seen before.
Elizabeth Anderson: Got it. No, that's helpful. And as you should have had – now we've looked through a couple of quarters of this higher inflationary period and maybe sort of a more volatile macro. What can you say sort of in terms of the – any changes to the demand profile that you're seeing across any of your channels or product lines?
Paul Jacobson: All right. So I'm going to let Michelle make a comment on demand on the consumer side of things.
Michelle Crow: Yes. So demand volumes are really strong. DTC demand in Q4 was up 46%. We saw growth in the number of purchasing customers on the new side and the repeat side. And in terms of unit economics, we saw order size net price per unit both increase and relatively stable order frequency, and we've been continuing to see these strong trends as well in Q1.
Paul Jacobson: Right. We're also expanding our sales force on the doctor side, so we expect to see good demand on the medical side in the United States as well.
Elizabeth Anderson: Got it. And can you also comment on sort of what – how you see international growth trending this year? And I know you just talked about some of your expanded distribution in China, et cetera. So can you just sort of – how do you see that mix changing in 2023 versus 2022?
Paul Jacobson: Yes. So based on what we're seeing, the two focus areas, as I mentioned in the prepared comments, are going to be China and Korea. We have taken complete control ourselves of all the e-commerce channels in China, and we expect significant growth there on a direct-to-consumer basis. And the same is true of Korea with a little bit of a difference there in that we are working with some physician models as well as direct-to-consumer. So we see both Korea and China providing reasonable growth for us this year.
Elizabeth Anderson: Got it. And then maybe one last one for me. I think you said in the prepared comments that you're responding to comments for self-use in the United States for the OneDraw approval. How do you think about, like roughly speaking, the time line for potential approval there for the self-use?
Paul Jacobson: Right. So let me tell you that we've been surprised at the way the cadence has gone. In other words, the FDA group, in this case the PDMA in Japan, being the first to clearance for direct-to-consumer use was not expected. They are known for being particularly difficult. And so because of that, we believe that we're going to have some reasonable opportunities with the device in Asia because of the Japanese clearance makes a big difference to us overseas. In the U.S., we got comments back and we are expecting to resubmit based on the comments we've received in the next couple of weeks. And the FDA has to respond to us, I believe, around July at the latest. So I mean, we have no control over that. It could happen fast. It could happen in July. I just don't know yet.
Elizabeth Anderson: Okay, got it. Thanks so much.
Operator: [Operator Instructions] Our second question comes from Susan Anderson of Canaccord Genuity. Susan, your line is open. Please go ahead.
Susan Anderson: Hi, good morning. Thanks for taking my question. I was wondering if maybe you could just talk about the EBITDA margin. It looks like the guidance for this year is maybe in the 10% to 11% range. How are you thinking about that longer term? And do you think that you can still see that grow as we go throughout the years?
Paul Jacobson: Yes. So I'll make one comment here, and then I'll also see if Tom McKenna wants to make a comment. So as I mentioned and I tried to highlight in the prepared remarks, we are completing a brand-new plant and expanding our current one, which will come online later this year. In order to accommodate the necessary hiring, it means that we have to add to our blue-collar workforce during the course of this year and get them trained. There's no way we can open a new plant until we have the workforce in there and ready to go, and they have to go through significant training on the machinery. Our best estimate, and I'm emphasizing that this is a guess, that it's going to knock off three to four gross margin points this year, which is where we're coming in on the adjusted EBITDA. So we basically, as I made that the comment in the prepared remarks, that we're making an investment in our long-term future. Our growth is telling us that we should do it. And we're big believers in the importance of not only controlling manufacturing, but doing it here in the United States and trying to get a jump on what we think is going to be a big reshoring trend. Tom, do you want to add anything to that? Or do you think we're good?
Tom McKenna: Yes. I think Susan – Susan, can you hear me?
Susan Anderson: Yes, I can hear you.
Tom McKenna: Okay. To Paul's point and to answer your question about the longer term, while we're effectively taking a hit on the investment side to position ourselves for greater capacity and demand in the future, the staffing that we're scaling up this year will not be necessary in the future. In other words, we can capitalize on reasonably more stable staff with greater output. So we're anticipating that our gross margins over time, by the middle of this decade, we'll move into sort of mid-50s range and then potentially higher thereafter as we continue to progress through the decade and have greater volume going through our facilities, again, with more stable staffing with respect to the overhead allocation dropping.
Susan Anderson: Okay. Great. That's helpful. And then just really quick on the marketing spend, I think it's going to be second half weighted, I guess. Or should we expect a similar large campaign that you guys did last year? How should we think about that? Or any thoughts on – any color on what that will be?
Paul Jacobson: Yes, Susan. I'm going to let Michelle Crow answer that. She's our Chief Marketing Officer. Go ahead.
Michelle Crow: So when we look at 2023, as we mentioned, we're planning on around 14% to 15% of sales spent on marketing. And this year, our cadence will be more evenly distributed than last year. We will have one big brand campaign that we're planning to launch around July, and that will feature a big high-profile partner we're going to be announcing soon that we're really excited about. So there will be a slightly higher spend around the Q3 range. However, it will be more even than it has been historically.
Susan Anderson: Okay. Great. And then if I could just add one more. I'm just curious just on the macro environment, there's been some talk around just VMS slowing, consumer is getting impacted. I know you guys cater though to higher-end consumer. It doesn't look like you guys are getting impacted. But just curious if you've seen any change in consumer behavior, how they buy your products either in the DTC channel or the professional channel?
Paul Jacobson: From a macro standpoint, demand continues to be really strong. We're not seeing the impacts of it. I do know that we're hearing a variety of things either from various organizations about the growth rate of the supplement industries being somewhere in the generic level I'm speaking, not quite company, somewhere in the 2% to 3% range in 2022 and even lower with some big companies. But we're just not – we're not seeing it. We are very focused on this trend I mentioned of scientific wellness and deep personalization, and we think that's where our future lies. And Michelle also has a comment here.
Michelle Crow: And the one additional thing I would add. As you may recall, when we were in 2022, we pulled back marketing spend in the second half of the year. And the biggest impact of that was just on the rate of new customers acquired. But in the first half of the year and the second half of the year, unit economics remained really strong. So we're of the mindset that it's really because of our brand and of the depth of our portfolio that we're able to reach customers in the luxury segment that want to buy our products frequently. And so as we kind of look to next year, we're still early in our growth cycle year-over-year group brand awareness 4% to 6.5%. So we're confident that unit economics will be strong in 2023 as well.
Paul Jacobson: Yes. I'm also going to ask Tom McKenna to make a comment based on some of the things we're seeing inside the plant. So Tom?
Tom McKenna: Yes, Susan, probably the best way to take a look, at least near term on what we're seeing for our products in overall demand, is this month we'll have orders of a little over 95,000, which is a record for us. And in fact, in each of the months thus far this year, we've had record orders fulfilled. So we can't perfectly forecast what's going to happen in the future, but we can say at the moment, right now, we're not seeing anything on the downside.
Susan Anderson: Great. That's really helpful. Thanks for all the details there. Good luck the rest of year [ph]. 
Tom McKenna: Thank you. 
Operator: Thank you. [Operator Instructions] Our next question comes from Steven Mah of Cowen. Steven, your line is open. Please go ahead. 
Steven Mah: Okay, great. Thanks for taking the questions. So two follow-up questions on OneDraw. So you mentioned you're developing a OneDraw proteomic assay for the Cancer Moonshot. Could you get some more color on like what type of markers are going to be in that assay and what types of tumors are going to be targeted in that assay? And then the second one, you mentioned you are in BD discussions with OneDraw. Any sense of timing there? Or is that predicated more on U.S. FDA approval for at-home use?
Paul Jacobson: So I'm going to make a comment on the first one, and then if Crow wants to add anything. So we are currently working in this Moonshot Project but we're not privy right now to some of the data that they're working on. So I cannot comment on that specifically. We do know that it's – they're using – that's being used inside the military right now, testing for various oncological aspects, but I don't know anything more than what we said. You want to add any?
Unidentified Company Representative: Just one more comment. Besides the proteomics we're working on OneDraw, independently, we're also exploring other omics with OneDraw. And one development we have is we're exploring the possibilities of the OneDraw device to cut blood and analyze metabolomics which is a very important factor that can particularly create health scores for us. We're working on that, and we'll keep the team posted.
Steven Mah: Okay. Thanks. And then about the BD timings of OneDraw?
Paul Jacobson: Yes. So I would see that we hope to be able to put something into the public forum by the middle of the year.
Steven Mah: Okay. Great. And then similarly, on the microbiome wipe, could you give us any business development updates there for choose [ph] by others as a medical device?
Unidentified Company Representative: We're exploring the possibility to register the microbiome wipes in partnership with a medical device company. As we mentioned before, we have our core business focus on consumer, and we're not a medical device company. So we do not have a plan to register the device ourselves, but we're actually doing these developments in the United States. Meanwhile, also for the opportunity for international, especially in focus on Asia.
Paul Jacobson: Yes, some of the people in Asia that have had an interest in the OneDraw device are similarly doing the same thing in the microbiome wipe.
Steven Mah: Okay. Great. Thanks – the color on that. And then maybe if I could sneak one last in. Could you provide any color on the brain health, timing of launch? Thank you. 
Paul Jacobson: Yes. Go ahead, Michelle, because you're working on the marketing side.
Michelle Crow: Yes. So as it relates to the brain health launch, we're beginning our pilot beta testing right now to really trying to identify the exact target market and finalize our testing profile, and we are hoping to launch by Q4.
Paul Jacobson: Also, Steven, I've mentioned that a big part of this platform includes product development and through our bioinformatics platform. And I mentioned in the prepared remarks, SynaQuell. And we are going to update everyone very soon on some of the clinical trial results coming out of the Mayo Clinic trial, which was run on concussed hockey players during the course of the season.
Steven Mah: Okay, great. Thank you. 
Operator: Thank you. [Operator Instructions] At this stage, we currently have no further questions, and therefore, this concludes the Q&A session and today's call. Thank you so much for joining. You may now disconnect your lines.